Operator: Good morning, ladies and gentlemen. Thank you so much for standing by. Welcome to the Triple-S Management fourth quarter and full year 2008 results conference call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. (Operator instructions) As a reminder, this conference is being recorded today on Thursday, the 19th of February 2009. I will turn the conference over to Kathy Waller. Please go ahead.
Kathy Waller: Great. Thank you, Michael. Good morning, everyone. Welcome to today’s fourth quarter and full year 2008 conference call. With us today are your host, Ramon Ruiz-Camos, President and Chief Executive Officer; and, Juan-Jose Roman, Vice President of Finance and Chief Financial Officer. I’m sure all of you have heard the Safe Harbor Statement before, but we still need to get this housekeeping issue out of the way. Each quarter, Triple-S Management executives will provide their current view of the company's future. This means they will share forward-looking information. As you know, these statements can be affected by the risks and uncertainties involved in the business. Despite management's best efforts, what actually happens may be materially different from what you hear today. To get a better understanding of why this may occur, please look at the Safe Harbor section in today's news release and in the company's periodic filings with the SEC. In addition, the information shared in this call should be considered current as of only today. After today, please use this information for your reference and only remember that the company assumes no duty to update it. This call is being webcast. Shortly after then, you'll find an archived version on the investor relations page of the company's Web site at www.triplesmanagement.com. If you don't have a copy of today's press release, you can either find one on the company's Web site or you can call Hon Huey [ph] at 312-640-6688, and she'll forward one to you immediately and also make sure you're on our distribution list going forward. With that, I'd like to turn the call over to Ramon. Ramon, please go ahead.
Ramon Ruiz-Camos: Thank you, Kathy. I also would like to add my welcome to everyone. We continue to be excited about the future for Triple-S Management, and I'm happy to have you with us on our call today. Here's the agenda we will follow. I will begin by giving you some highlights from 2008. Then, Juan-Jose will provide the story behind our numbers and provide more details on the quarter as well. Then, I will return to share our 2009 outlook. After that, Juan will (inaudible), we’ll be happy to entertain any question you may have. First off, I would like to remind you that Triple-S Management is a leader in managed care, life and disability insurance, and property and casualty insurance in Puerto Rico. Triple-S is the number one managed care company in Puerto Rico. This year, Triple-S is celebrating its 50th anniversary. In honor of this significant milestone, we will be rolling out some new marketing material built around our slogan, “The group of company that takes care of you.” We are very proud of the company we have built. We believe we have the best employees and the broadest network of physicians and hospitals. And we look forward to continue providing our 1 million plus members with quality care for many years to come. In spite of the present turbulence in the capital market, 2008, our first year as a publicly trade company was a good year. Our performing results were excellent when compared with our managed care field [ph]. We achieved the high end of our guidance range on every metric. We’re especially proud of the growth in our managed care segment and the progress we have made in each of our product area. We delivered 74.6% growth in Medicare Advantage member month enrollment. We saw significant improvement in our commercial business due to the re-pricing of unprofitable business and new initiatives we put in place. And in the reform segment, we assumed (inaudible) in the Metro-North region in November 2008 after losing it in 2006. As of December 31st, 2008, our managed care business holds a leading market share position. The Triple-S brand is very well known and highly regarded on the island. Our complimentary life insurance on property and casualty business have market share of approximately 11% and 8%, respectively. We experienced record growth in our consolidated net operating revenue, which amount to approximately $1,770.9 million, up 14.6% over year-over-year. This rise was primarily due to an increase in premium current in our managed care segment largely reflecting greater volume in the Medicare Advantage business and higher premium rate. Managed care continues to be our largest segment representing approximately 88% of the total consolidated operating revenue for the full year 2008. Life insurance and property and casualty insurance represent approximately 6% each. When it comes to segment operating income, managed care represents 53% as of December 31st, 2008, while life accounts for 15%, and property and casualty approximately 16%. All our reportable segments represent approximately 6% of operating income. Consolidated claims incurred and operating expense for the year were $1,686.8 million, an increase of 15.4% from a year ago. Consolidated claims incurred were up $211.1 million or 17.2%. Principal review to increase claims in the managed care segment driven by higher enrollment and utilization trends, particularly in the Medicare Advantage business. The consolidated loss ratio grossed 207 basis points to 84.6%. Twelve-month consolidated operating expenses were $251.9 million, and the operating expense ratio improved 120 basis points to 14.7%. Pro forma net income for the 12-month ended December 31st, 2008 was $58.8 million or $1.83 per diluted share based on weighted average shares outstanding of the results $32.2 million, compared with $56 million or $2.06 per diluted share based on weight average shares outstanding of $27.2 million of the same time last year. The bottom line is that we feel great about the opportunity we have to get a profitable market share across all segments of our business, and we continue to execute our strategic growth plan. We actively identify ways to decrease our MLR while still providing quality service to our members. We continue to manage our expenses. And we are pursuing opportunities to further leverage our Hispanic footprints and expansive distribution channel. We are now opening the fourth quarter of our proposed acquisition of La Cruz Azul is a perfect example of this. I will turn the call over to Juan-Jose, who will provide you with additional details on our financials and business segments.
Juan-Jose Roman: Thank you, Ramon. I would like also to add my welcome to everyone on this call. Now, let's review our fourth quarter and 2008 financial results. You already have seen our news release, so I will focus on the key area we use to direct our performance and share the details behind these numbers. Ramon has already reviewed some consolidated number with you, but let me just reiterate that we were pleased with our consolidated revenue, tight administrative expense control, and overall enrollment growth. As we had expected, the increasing consolidated revenue was largely attributable to the higher net premiums earned in our managed care segment, principally due to the tremendous growth in our managed care enrollment. Consolidated net income rose 19.2% to $56.2 million in the year ended December 31st, 2008. This increase is attributed to a higher yield and higher balance of invested assets. The consolidated net realized investment loss for the 12-month ended December 31st, 2008 was $13.9 million or $11.8 million net of taxes, resulting from the recognition of a non-cash charge to earnings of $16.5 million, due to other-than-temporary impairments in three equity mutual funds that replicate the Russell 1000, Standard & Poor's 500, and the EAFE indexes and certain perpetual preferred securities. Keep in mind that capital gain and losses are tagged at 15%. While frustrating, we are not alone in reporting other-than-temporary impairment adjustments. The good news is that this development did not alter our financial plan to create shareholder value. As you all are aware, last week, we announced that we were reviewing certain regional investment in perpetual preferred stock securities to determine if another contemporary adjustment was necessary. One of the reasons was in fact that the credit rating for one of those insurers was segregated as it was before. In perpetual preferred stock, I consider having securities; we need to perform additional analysis. Specifically, we have to analyze it as a common stock and not as a debt security since this debt was downgraded to non-investment rate. In addition, we review all of our perpetual preferred stock using similar analysis. The result was another contemporary adjustment of $2.8 million, which was included within the $13.9 million I just mentioned. As of December 31st, 2008, the total amount Triple-S have invested in preferred securities was $12.4 million. We did an excellent job managing our operating expenses while growing our revenue. Our consolidated operating expense margin improved 120 basis points when compared to the same period last year. Let me now focus on a discussion of our segment results. Looking at our managed care businesses, which accounted for approximately 88% of the year’s consolidated operating revenues, total medical premiums earned in 2008 were $1,513 million, up 16.2% from the prior year. The increase was principally due to higher enrollment in Medicare Advantage business and premium rate increases. Administrative service fees were $22.5 million in 2008, 30.8% out of those generated in 2007 aided by the one-year ASO contract for the Metro-North region that we began servicing again on November 1st, 2008. This region has approximately 190,000 members and will represent about $18.5 million in administrative service fees plus stop-loss premiums on a rolling 12-month basis. Net income totaled $23.1 million. In the managed care segment, MLRs increased 180 basis points to 88.9%, deflecting the effect of prior period reserved developments in 2007. Excluding this effect, the MLR would have increased 70 basis points. Our 2008 operating expense ratio decreased by 70 basis points to 10.5%, deflecting our ability to grow our business volume at a faster rate than operating cost. Our 2008 operating expenses include $6 million related to the new managed care IT system that we have been implementing since 2007. In 2007, the IT system related expense was approximately $5 million. We remain on schedule and expect to move the first level of business to the new IT system between the end of 2009 and the beginning of 2010. Operating income in the year was $52.6 million, compared with $57.4 million in 2007. Further breaking down our managed care segment for 2008, premiums earned in our commercial business were $734.2 million, up 2.2% representing approximately 48.5% of the total medical premiums earned for the year. The increase is attributable to an average 4.4% rate increase offset in part by a slight decrease in fully-insured member month enrollment of 36,126 or 0.7%. The commercial MLR improved by 120 basis points to 87.6%, primarily resulting from the re-pricing or termination of less profitable groups, cost containment initiative, stricter underwriting guidelines, and lower utilization trends in (inaudible) and medical services. In spite of the sluggish economy in the last couple of years, we were able to improve the commercial MLR. And this year, the end of the period membership increased in both the rated and ASO groups. While we continue to expect the economy to be lackluster in 2009, we anticipate having another slight increase in members during the year. Our reform or Medicaid business earned premiums of $340.1 million, 3.8% higher than last year, accounting for 22.5% of total medical premiums earned in 2008. The increase was largely due to the effect of the nearly 10% premium rate hike effective from July 1st, 2008, partially offset by the year-over-year decrease in fully-insured members’ month enrollment of 160,343 or 3.8%. The reform MLR was 90.6%, 160 basis points higher than in 2007, primarily reflecting the effect of prior period reserve development and the $2.8 million retroactive premium rate increase received by (inaudible) in June 2007 corresponding to 2006. Excluding the effect of the prior period reserve development and from severing defect of affirmation of the premium rate increase, the MLR actually improved by150 basis points. Rounding out the managed care segment is the Medicare business, which generated premium of $438.7 million, up 71.7% over the prior year. Medicare represents 29% of total premiums earned in 2008. The substantial revenue increased is largely the result of a 54.3% jump in member month enrollment or $300,892 and a change in product mix within this business. Those enrollment months was paved by a 74.6% increase in Medicare advantage membership, mainly dual eligible members. The Medicare MLR was 89.7% in 2008, compared on sustainable low 79.7% in 2007. The 10% point rise in the MLR is due in part to the effect of prior period reserve development. Excluding the effect of prior period reserve development in 2007 an 2008, the MLR rose by 7.1 percentage points, primarily the result of higher utilization trend, specifically, outpatient visits and drug benefits associated with dual eligible members. There was a higher concentration of dual eligible members in 2008, compared with 2007. And these members have inherently higher utilization and MLR than the non-dual eligible members. In the fourth quarter, we did however experience a significant sequential decline in the MLR due to normal seasonal ability and lower utilization trends, and pharmacy costs mainly due to the dollar and (inaudible). Recently implemented initiatives, new rates, and changes to our product offering should allow us to reduce this segment MLR this year. In fact, our 2009 guidance, which we will discuss at the end of our prepared comments, incorporate and improved in this metric. Moving now to our life insurance business, premiums earnings 2008 were $92.8 million, a 4.4% year-over-year advance. Total operating revenues were $109.2 million and operating income was $12.5 million, up $1.8 million or 16.8%, compared to 2007. The segment experienced a steady basis point reduction in its lost ratio to 51.1%. The operating expense ratio improved by 20 basis points to 53.2% in 2008. In turning to our property and casualty insurance business, we recorded 2008 premiums of $93.8 million, a decrease of 3.1%. Total operating revenues were $106.3 million, and operating income was $13.1 million, up $2.4 million or 22.4% from a year ago. The segment involved an expense ratio, both declined falling to 44.9% and 54.5%, respectively. Now for a quick review of fourth quarter recap. Consolidating operating revenues for the three-month ended, December 31st, 2008, were $460.2 million, 15.4% above the same period the previous year. Consolidated claims incurred and operating expenses for the quarter were $431.2 million, an increase of 15.10% from a year ago. Consolidated claims incurred were up 55.9% from 18.1%, principally due to the increased claims in the managed care segment driven by the significantly higher enrollment in the Medicare advantage business and utilization trends in the commercial business. The consolidated loss ratio rose 240 basis points to 83.1%, primarily reflecting higher utilization trends in the managed care segment. The consolidated operating expense ratio improved 170 basis points to 15%, mainly due to our scalable infrastructure that enabled us to manage the aforementioned volume increase. The managed care business generated total medical premiums for the three-month ended December 31st, 2008 of $391 million, up 17.2% from the prior year. The segment operating income was $18.2 million, 1.1% above the prior year. The managed care segment MLR increased 240 basis points, greatly set to 87.6%, but the operating expense ratio decreased by 110 basis points to 10.9%. The increased in the MLR is due in part to the effect of prior period reserve development. Excluding the effect of prior period reserve development in the fourth quarter of 2007 and 2008, the MLR rose by 60 basis points. This increase is due to a change in mix of business. In the 2008 period, we had more Medicare Advantage members than in the prior year. And the MLR for this business was higher than that of last year. Premiums earned in our commercial business were $188.1 million, up 4.5%, representing approximately 48.1% of total Medicare premiums earned for the quarter. The commercial MLR rose by 670 basis points to 89.3%, primarily reflecting higher utilization trends and September 2009 on favorable reserve development of $5.4 million. Excluding the effect of prior period reserve development in 2007 and 2008 period, the MLR increased by 20 basis points, such increase is utilization increased in trends. Our reform business recorded premiums of $87.8 million, 4.9% higher than last year accounting for 22.5% of the total Medicare premiums earned. The reform MLR improved by 130 basis points to 87.7%. The Medicare business, which represented 29.4% of total premiums earned in the period, increased 64.7% to $115.1 million. The dramatic advanced is largely the result of a jump in member month enrollment of 80,798 or 55.2% and a change in growth mix. Growth in member month was paved by a 74.6% increased in Medicare Advantage membership. This probably due to the higher concentration of dual eligible members, the Medicare MLR improved by 260 basis points to 84.8% as a result of a decreased in utilization trend. Now, I would like to discuss the company’s overall financial condition and provide some supplemental information. As of December 31st, 2008, total assets were $1.55 billion compared to $1.66 billion as of December 31st, 2007. Total investment and cash were $1.1 billion at the end of 2008. Approximately 90% of the portfolio is invested in fixed income and the other 10% in equity, including mutual funds. As of December 31st, 2008, our production mending 12% of our $1.1 billion portfolio was exposed to corporate assets we first dub for non-agency mortgage back securities. Approximately, 96% of our fixed income portfolio is investment grade and 70% is rated AAA. Our exposure to the equity of companies that has gone bankrupt were part of the distressed field or had the federal government step in to provide financial assistance gives us 100,000 as of December 31st, 2008. Looking at our investment in fixed income securities, 56% is comprised of US Treasury securities, obligation of government sponsor enterprises, an obligation of the US government instrumentalities; 13% is mortgage back and collateral mortgage obligation that are US agency based; 13% in obligation of the government of Puerto Rico and in its instrumentalities; and 4% in obligation of US states and municipalities. The remaining 14% is held in corporate bonds, preferred stock and non-agency mortgage back securities. We continue to transition the portfolio to a shorter term horizon. The portfolio’s actual effective duration is four years. As such, (inaudible) ration of the portfolio to slightly decrease and liquidity – and liquidity to increase in these turbulent times causing the investment income to decrease about 5% during 2009. Our net premiums and other receivables increased by $34.9 million to $237.2 million when compared to December 2007. The rise is roughly the result of increases in premium receivable from the managed care segment amounting to $41.1 million, mainly related to the government in Puerto Rico and its instrumentalities. Most of these premiums have insubstantially collected. Also, if you remember in our previous conference call, we mentioned that we collected in advance about $22.8 million in premium during December 2007 related to revenues for January 2008. Both situations had effect of reducing our cash flows for operations in 2008. In terms of our medical claims payables, there were $201.8 million as of December 31st, 2008, an increased of $0.2 million from December 2007. The number of days claims payable as of December 31st, 2008 was 57.3, a decrease of 7.6 days from 64.9 as of December 31st, 2007. The decrease is due to the fact that in 2007, the lack of bi-weekly payment of the year was actually paid on the first date of 2008. And in 2008, it was paid in the last day of the year. Excluding the effect of the timing of these payments, 2007 days payable were 58.2. For 2008, net cash used in operating activities amounted to $3 million. This is mainly due to the effect of the premiums collected in advance and the decreasing premiums receivables I’ve just mentioned. Excluding both situations, cash from operation would have been $60.9 million. In addition, we repurchased approximately 1.2 million company shares in December ’08 at an average price of $11.75 for a total of $13.3 million. The repurchase was conducted in accordance with Rule 10b-18 under the Securities Exchange Act of 1934, as amended. From January 1 to February 13, 2009, the company repurchased an additional 634,150 shares at an average price of $12.62. The company continues to have approximately $18 million year marked for share repurchased under our current Board authorization. So far, we have purchased a total of 1.8 million shares at an average price of $12.05 per share. Seven million plus eight shares were also converted into Class B shares during the fourth quarter. It should be noted that approximately 9 million Class A shares remain outstanding and will not be converted to Class B shares until the earlier of the date that all potential claims specified in our certificate of incorporation are resolved or five years from the date of our initial public offering in December 6, 2012. In either case, the Board of Directors must approve the conversion of the remaining Class A shares. As a reminder, Class A shares do not trade on a public market. One additional topic I would like to briefly discuss is a pending acquisition of La Cruz Azul. As you know, in the fourth quarter, we announced our intention to acquire 13 managed care assets of La Cruz Azul. We continue to move forward on this transaction and hope to finalize it during the first half of 2009. Let me just give you just a little color on why this transaction makes sense for us. First, we anticipate that the acquisition will be accretive. Second, we will get the licensing rights to the Blue Cross brand in Puerto Rico and the Blue Cross and Blue Shield brands in the US Virgin Islands. And third, we’re now acquiring the legal entity so the accumulation of the two businesses will be quick and seamless. The total members to be acquired are approximately 135,000, of which 44,000 are weighted or fully insured and 91,000 are ASO. Annualized screenings are expected to be approximately 60 million. Our service fee should be between $9 million to $10 million. We expect that the La Cruz Azul transaction will be slightly acquitted on a rolling 12-month basis for it is hard to say how much it will add in 2009 since we have no control over the regulatory bodies that ultimately need to approve the transaction before it can close. In summary, our year-to-date financial results were favorably affected by a return to profitability in our commercial business. Thanks to our (inaudible) and expected MLR and a favorable reform business, which MLR benefited from the recent rate increases, and an inline performance from Medicare Optimo, our non-dual product. While these improvements were offset by the unexpectedly high MLR in our Medicare dual product, we look for this product MLR to improve in 2009. Now, I will turn the call over to Ramon for our guidance and outlook.
Ramon Ruiz-Camos: Thanks, Juan-Jose. 2008 was a year aimed at expanding our managed care platform in Medicare. Today, we believe we have approximately 17% market share, compared with less than 5% drop two years ago. It was a year of refocusing our commercial business and turning it around and a year of stabilizing our reform business. Our effort in 2008 positions us well for the future. We are projecting 2009 consolidated operating revenue of between $1.86 billion and $1.93 billion reflecting the following anticipated change in our managed care member month enrollment, total full insured medical enrollment is expected to be between $9 million and $530,000, and $9 million and $950,000; total health insured Medicare enrollment is expected to be between $4 million 450,000 and $4 million 545,000. This projection is based on an estimate 4% increase in member bonds in the commercial business after a 7% increase in the reform business, and a 1.5% decrease in the Medicare business. We look for a consolidated loss ratio to come in between 83.7% and 84.7%. The managed care MLR is anticipated to be between 88% and 89% based on a flat MLR in the commercial and reform segment, and 120 basis points decrease in the Medicare MLR. We anticipate our consolidated operating expense ratio to be 15% or 15.4%, including $3 million in incremental expense related to the new managed care IT system and a $6 million cost related to the increased in ASO business monthly due to the Metro-North region. If you remember, Metro-North region chart in November 2008 so it will be in 2009, 12 months. Our consolidated operating income is anticipated to be between $88.5 million and $97 million, a 10% increase at the midpoint of the range compared to 2008. We expect to our 2009 consolidated effective tax rate to be between 26% and 27%. Lastly, we are looking for earnings per share to be in the range of $1.88 to $1.99 – between $1.88 and $1.98 based on 30.5 million diluted weighted average shares of family [ph], excluding any unrealized and realized gains or losses on investments. Keep in mind that our 2009 earnings power is mapped by our $7 per share net of taxes and maintenance fee expense related to the new managed care IT system, and another $0.08 per share related to our 3.3% points increased in the effective tax rate. Now that we have shared our results with you, we would like the opportunity to answer your questions.
Operator: (Operator instructions) Our first question will come from the line of Charles Boorady with Citibank. Please go ahead.
Charles Boorady – Citibank: Thanks. Good morning. I’m wondering if you could summarize for us what the trends have been on medical expenses, if you could tell us for in-patient versus out-patient and position of – and pharmacy costs, just what the utilization trends versus the unit cost trends of it?
Ramon Ruiz-Camos: Hi, Charles. In the manpower trends in 2008, we are handling now around 1% overall. And it is mostly due to a mix of an increasing cost of around 4% and a negative trend in the utilization. The reason for the negative trend in the utilization for the first half of the year actually was due to some certain initiative we put in place mid-2007, specifically in the drop sector and the hospitalization review. What we have been seeing in the last quarter is that utilization is starting to pick up and we saw the fourth quarter total trends to be around 1.5%. The expectation for next year is that the trend cost will be around or around 4%, which is basically setting up a cost trend that will be between 3% to 4% across the different sectors. It is mostly – that the effective trend is mostly in the in-patient. They will be around 4%. We’re expecting a pharmacy trend to be around 1% to 2%, mostly due to the fact of we are expecting an increase in the generic utilization for next year and certain initiatives to control our costs.
Charles Boorady – Citibank: Thanks. And on the next year, your expectations for in-patient utilization growth versus prices?
Ramon Ruiz-Camos: It will probably be around between 4%, 4.5%. Utilization will probably be around 1%.
Charles Boorady – Citibank: Got it. And if I could ask, just in your experience year-to-date, I know it’s just a middle of February, but have you had a chance to look at the risk scores of your Medicare lives and also the prescription trends year-to-date in your Medicare Advantage population. Can you give us a sense for whether the expected medical cost growth – those coming in line with your previous expectations or are you seeing better risk or worse risk than what you expected for ’09?
Juan-Jose Roman: Of course, in terms of risk scores, they’re seeing – they’re in line and they are higher – what we are seeing is higher risk than ’08. And as you said, earlier in the year, definitely, we saw an increase in the risk scores. In terms of the utilization and our costs, the month of January and the (inaudible) numbers look like that it is on target to our projections.
Charles Boorady – Citibank: Okay. And do you – does your guidance include your expected risk adjusted payments for Medicare?
Juan-Jose Roman: Yes.
Charles Boorady – Citibank: All right. I’ll jump back in the queue. Thank you, guys.
Juan-Jose Roman: Thanks.
Operator: All right. Thank you. Our next question is from Carl McDonald with Oppenheimer. Please go ahead.
Carl McDonald – Oppenheimer: Thanks. First question was just that – have you disclosed the acquisition price on the La Cruz Azul acquisition?
Ramon Ruiz-Camos: No. We’re just waiting to have the final approval from the commission.
Carl McDonald – Oppenheimer: Okay. And then, second question is in the – on your balance sheet, is there any intangible or goodwill that’s included in the other assets or is that a relatively clean number.
Ramon Ruiz-Camos: Carl, it’s relatively clean. There we have mostly or prepaid our deferred tax assets, mostly. In terms of goodwill, we just $1.5 million goodwill recorded in our books beside what is – related to the MOA and DAC [ph] in our life (inaudible) company.
Carl McDonald – Oppenheimer: Yes. Because I was just thinking about a tangible book value. It will really just be a $15 in book value not unless I wanted to think the deferred acquisition costs.
Juan-Jose Roman: That’s correct.
Carl McDonald – Oppenheimer: All right. Great. Thank you.
Ramon Ruiz-Camos: Thanks, Carl.
Operator: Thank you. Our next question is from Greg Nersessian with Credit Suisse. Please go ahead.
Greg Nersessian – Credit Suisse: Hey, good morning.
Ramon Ruiz-Camos: Good morning, Greg.
Greg Nersessian – Credit Suisse: My first question is on the drop in the fully insured enrollment expectations for next year. I guess at least it’s at the low end of the year-over-year guidance. Could you just review those numbers that you gave us? And can you give us a little color on what the potential impact – or I guess, what the potential impact is from the economy, what you’re thinking about in terms case load growth on reform? And then also, on the Medicare Advantage, why that stands as well?
Juan-Jose Roman: Okay. Let’s start with commercial. In the case of commercial, we’re expecting a slight increase for next year in members. It will come mostly from the ASO groups, although it will be in both, in the rated and ASO, but it will be kind of flat, it would be around 4% rate increase, I’m sorry, membership increase. In the monthly economy, as you know, January is one of the strongest months of renewal. So we already have looked at the renewal for January, which was about 99% retention. In addition, we have certain significant groups, the ASO groups starting this January. So we feel very comfortable with our operation in terms of members in the commercial because we’re already seeing the renewals for January. But besides that, we do expect a kind of a flat growth in commercial for this year. In case of the reform business, however, we’re expecting the – what is the fully insured or the rated; we do expect a decrease for next year. We have been seeing a decrease in membership in the reform, fully insured reform. And when we look at January, that reduction continues. So that’s our prediction for 2009. Basically, consider what we are seeing in some of those members going down. When you look at the total reform, it will look at a significant increase, but it’s mostly due to the 190,000 members we got in November, which was only two months in 2008, but we are predicting they will be for the 12-month in 2009. So in terms of membership, you should expect in the reform fully-insured to decrease as compared to 2008. And basically, it is part of the process the government is going through of ascertaining that the eligibles are the one that need to be in the reform. Looking at the Medicard business, we’re expecting an increase in what we call the Optimal [ph] product, which is a non-dual product for next year of about 30,000 to 40,000 member months. However, we do expect a slight decrease in the Selecto, which is a dual product of about 12,000 member month. The reason for that is that we did make changes to our product for 2009 as a result of the MLR was that we did not in 2008, so we predicted some slight decrease in those memberships. In January, standalone, partly standalone, our operation for next year, that it was also – it was the kind of flat, slight decrease.
Greg Nersessian – Credit Suisse: Okay. That’s very helpful. And then just maybe following along that, just for – just looking at the MLR, you gave us the managed care segment medical Wall Street guidance, 88% to 89%, looks like 88.9% in weight. So with that improvement, it sounds like most of it is coming from Medicare, is that correct to assume? Should we expect commercial and reform to be roughly flat in ’09? Is that your initial expectation?
Juan-Jose Roman: Yes, that exactly. In the case of commercial, we’re predicting a small, a slight decrease of about 10, 20 basis points in the MLR. And the reason for that is that we are considering the state of economy within this year that it will be a really slow economy on ’09. So we try to reflect that it will be a tough year, that’s why we basically have to (inaudible) flat in commercial. In the reform business also and in considering the (inaudible) situation, we’re considering that it will be flat in ’09 also. So as you said, it will come most – the improvement will come from the Medicare Advantage.
Greg Nersessian – Credit Suisse: Okay. Great. And then just a last question, on the managed care segment, if you could just break out what your risk based capital ratio is?
Juan-Jose Roman: Yes. The estimated – we’ve been working with these final numbers for the statutory purposes, but I can give you a sense that for the managed care company, it will be – RBC will be around 500%. And at the holding company, we will be over 650,000. Yes, 650%.
Greg Nersessian – Credit Suisse: 650%. Okay, great. Thank you.
Juan-Jose Roman: Thank you.
Operator: All right Thank you. (Operator instructions) Our next question is from the line of Justin Lake of UBS. Please go ahead.
Ken Weakley – UBS: Hey guys, this is actually Ken [ph]. Just have a quick question on the days claims payable, I guess it was down about 3.5 from the third quarter of ’08 and plus if you could comment on the year-over-year decline. I just wanted to get the detail of the sequential decline.
Juan-Jose Roman: I’m sorry, Ken. I don’t have the third quarter numbers. Can you repeat?
Ken Weakley – UBS: Sure. It looks like the days claims payable went from 60.9 at December 30th, down to 57.3 as of 12/31. And we’re just trying to have a little more color on what the drivers of that were.
Juan-Jose Roman: Well primarily, it has to do with the fact that our reserve in the third quarter tends to be higher because of utilization in the months of August and September, probably, some of the highest of the full year, together with March and April. They tend to be higher than reserve because the utilization is just higher for those two months as compared to this year-end. Typically, in December, reserve goes down mostly because of utilization. December is the lowest utilization month of the year. So part of this is built on the natural seasonability we have in our claims.
Ken Weakley – UBS: Okay. That’s helpful. Also on the reform business, I just want to know what your outlook is for rate environment given the softening economy as well as if there’s any contracts coming up for (inaudible) in the future.
Ramon Ruiz-Camos: Yes. All contracts, all rated contracts – the contracts for the rate for the two regions we have that are rated are due in June 30, 2009. So at this point, we don’t know exactly what the government would do if they will renew it. Our expectation is that the previous rate increase will probably be around 4% and this is assuming that there will be changes in the coverage to review the cost of their reform business. And that decision is based basically on the new administration comment that they would like to look at the benefit and how they could control the cost on the reform. So with that in mind, we basically predicted an average 4% rate increase in the reform. But at the same time, the trend – predicted trend is lower considering that benefits would change.
Ken Weakley – UBS: Okay. Great. And lastly, the La Cruz Azul acquisition, is that – that’s not embedded in guidance, correct?
Juan-Jose Roman: It is not.
Ken Weakley – UBS: Okay, great. Thanks. Well done.
Juan-Jose Roman: Thanks, Ken.
Operator: All right. Thank you. Tom Carroll with Stifel Nicholas, please go ahead with your question.
Tom Carroll – Stifel Nicolaus: Hey, good morning. Two quick questions, first is just a clarification on Greg’s enrollment question. I thought I heard you say 4% enrollment increase in your commercial business in ’09. And then a couple of sentences later, you mentioned flat commercial growth. Can you just clarify that for me?
Juan-Jose Roman: Okay. Yes, I’m sorry, let me clarify that. In the commercial segment, we will see, in terms of days, fully-insured member month. That one will be – it will be around 50,000 member month increase. So it’s kind of a flat. However, we will see in self-insured, an increase of about 250,000 member months. So all in all, it would be around 4% member month increase, but the majority of it will come from the self-funded or ASO members.
Tom Carroll – Stifel Nicolaus: Okay, very good. Thank you for that. And then, secondly, it’s more of a conception question, how easy or difficult is it for you to approach the Board and increase your share repurchase authorization, if you need to do that?
Juan-Jose Roman: In terms of approaching of our Board, it is easy. They meet regularly, so we have full access to our board. In terms of evaluating that, that’s part of the process that is continuous. And the Board decided that they want to reduce our repurchase program, it could be done easily.
Tom Carroll – Stifel Nicolaus: Okay, very good. Thank you for that.
Operator: All right. Thank you. And our next question is from the line of Nicole Viglucci with Accipiter. Please go ahead.
Nicole Viglucci – Accipiter: Hi. Thanks. What are your interest income dollar and yield assumptions for 2009?
Juan-Jose Roman: Pardon? Nicole, can you repeat the question?
Nicole Viglucci – Accipiter: What are your interest income dollars and yield assumptions for 2009?
Juan-Jose Roman: Oh, yes. Okay. For the consolidated, it will be around $53.2 million. Yield will go down about 50 basis points.
Nicole Viglucci – Accipiter: Okay. And next, what, if any, impact would you have if DNS decides to go through with the negative quoting intensity adjustment of 3.75% this year?
Juan-Jose Roman: We evaluated that. We do not see a significant impact based on our resource. In general, we are close to one in terms of our non-duals. And some of the duals, we are lower than one – we’re on 1.1. So at this point, we don’t see an impact on our bulk of business.
Nicole Viglucci – Accipiter: Okay, great. And what was the impact from risk adjustors in Q4?
Juan-Jose Roman: We took about $3.5 million.
Nicole Viglucci – Accipiter: $3.5 million?
Juan-Jose Roman: Yes.
Nicole Viglucci – Accipiter: Okay. Thank you very much.
Operator: All right. Thank you. Management, there are no further questions at this time. Please continue with any closing comments you may have.
Ramon Ruiz-Camos: Okay. Well, we want to thank you for your participation in this conference call. Any question that you may need, we are available. I would like to leave you with a few final thoughts. Triple-S Management has a strong competitive advantage to this market. Puerto Rico is a great place for you – for us to operate. We know the market. We have ample opportunity for growth, and we are the market leaders. There are also still many opportunities for us to improve our operations, improve the profitability of our business, and leveraging our infrastructure. We are in a solid financial position, which will support us through whatever economic challenge we may face in the coming years. And we have sufficient capital to fund our growth. Juan-Jose and I would like to thank you for joining us today, and we look forward to updating you again with our first quarter results. In addition, we hope to see you – some of you at our Analyst Day on Thursday, March 5th. Thank you.